Operator: Hello and thank you for standing by. My name is Regina and I will be your conference operator today. At this time, I would like to welcome everyone to the New Jersey Resources' Fiscal 2023 Fourth Quarter and Year-End Conference Call and webcast. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Adam Prior, Director of Investor Relations. Please go ahead.
Adam Prior: Thank you so much. Welcome to New Jersey Resources' Fiscal 2023 Fourth Quarter and Year-End Conference Call and Webcast. I'm joined here today by Steve Westhoven, our President and CEO; Roberto Bel, our Senior Vice President and Chief Financial Officer; as well as other members of our senior management team. Certain statements in today's call contain estimates and other forward-looking statements within the meaning of the securities laws. We wish to caution listeners of this call that the current expectations, assumptions and beliefs forming the basis for our forward-looking statements include many factors that are beyond our ability to control or estimate precisely. This could cause results to materially differ from our expectations as found on slide one. These items can also be found in the forward-looking statements section of today's earnings release furnished on Form 8-K and in our most recent Forms 10-K and 10-Q as filed with the SEC. We do not, by including this statement, assume any obligation to review or revise any particular forward-looking statement referenced herein in light of future events. We will also be referring to certain non-GAAP financial measures such as net financial earnings or NFE. We believe that NFE, net financial loss, utility gross margin, financial margin, adjusted funds from operation and adjusted debt provide a more complete understanding of our financial performance. However, these non-GAAP measures are not intended to be a substitute for GAAP. Our non-GAAP financial measures are discussed more fully in Item 7 of our 10-K. The slides accompanying today's presentation are available on our website and were furnished on our Form 8-K filed this morning. Our agenda for today is filed on slide four. Steve will begin with this year's highlights, followed by Roberto, who will review our financial results. Then we will open the call up for your questions. With that said, I will turn the call over to our President and CEO, Steve Westhoven. Please go ahead, Steve.
Stephen Westhoven: Thanks, Adam, and good morning, everyone. Fiscal 2023 represented another solid year at NJR as we reported earnings well in excess of our industry-leading 7% to 9% long-term growth rate. Our performance this past year speaks to the strength of our diversified business model and our ability to adapt to challenges in ways that benefit our customers and our investors. This morning, we reported fiscal 2023 net financial earnings per share of $2.70. This is at the top end of our revised guidance range, which was increased by $0.20 back in the first quarter. We've accomplished quite a bit this year. New Jersey Natural Gas added 8,800 new customers with expansion throughout New Jersey Natural Gas' service territories as our customer growth has returned to pre-pandemic levels. Clean Energy Ventures grew its project pipeline to the highest level in our company's history, and we increased our in-service capacity by the largest amount for any given year. At S&T, Adelphia Gateway completed its first full year in operation and Leaf River continued to deliver strong results. And finally, Energy Services once again delivered outperformance during periods of volatility during the year. As strong as this fiscal year 2023 performance was, we have been more enthusiastic about our future. The details of our guidance for fiscal 2024 are on slide six. We are introducing NFEPS guidance of $2.70 per share to $2.85 per share, which represents a 12% increase from the midpoint of our initial guidance last year. We broadened the size of our guidance range for fiscal 2024 to $0.15. We have had a range of $0.10 for many years despite significant growth of our earnings. This new range is consistent with those of our peers. Our projections are supported by contributions from all of our business units. During fiscal 2024, a significant portion of our net financial earnings will come from our utility business as highlighted on slide seven. However, we do expect a higher contribution from Energy Services in fiscal 2024 than in prior years due to the outsized contribution from the fixed payments associated with the asset management agreements announced in 2020. Looking ahead, we feel very comfortable with our long-term growth rate in the future years. And in fiscal 2025, we expect to return to more normalized segment contributions. Overall, we have a portfolio of complementary businesses that deliver utility-like returns over the long term. With that, I'll turn to a discussion of our business units, beginning on slide eight. We invested over $450 million at New Jersey Natural Gas through a variety of programs in fiscal 2023, with nearly 40% of that CapEx providing near real-time returns. New Jersey Natural Gas' ability to generate these returns helps to alleviate regulatory lag, which is of particular importance in a high interest rate environment. Within that 40% is our SAVEGREEN program, which helps residential and commercial customers lower their energy usage. We spent approximately $60 million in fiscal 2023 to help our customers save money and reduce their carbon footprint, which is New Jersey Natural Gas' largest ever annual investment in the program for the second straight year. We recently completed a commercial energy efficiency project at Jersey Shore University Medical Center, which is located not far from our headquarters here in Monmouth County. We provided over $6 million in energy efficiency financing at Jersey Shore and expect the net energy savings on this project to pay back the entire cost within four years. Growing these programs is a central element of our decarbonization strategy, and New Jersey Natural Gas has long been a leader in this area. We achieved solid new customer growth throughout the year, adding 8,800 new customers compared to approximately 7,800 last year through a combination of new construction and conversions. During fiscal 2024, our capital deployment strategy will ensure that our infrastructure continues to provide the most reliable and affordable energy delivery service available for our customers. We also expect our customer growth to continue to trend higher. And with our current IIP and SAVEGREEN investments, approximately 40% of capital investments are delivering near real-time returns. And finally, we expect to file our next rate case in fiscal 2024, consistent with the time line of our major technology investments. Moving to slide nine. Our solar business, Clean Energy Ventures had an exceptional 2023. We added 82 megawatts of new solar capacity, which represents the largest capacity increase in any fiscal year since CEV's inception. We expanded geographically and during the year, over 40% of our capacity growth has come from outside of New Jersey. Our focus is on developing solar investment opportunities to provide high single-digit, unlevered returns and again, utility-like in their construct. Our project pipeline continues to grow and includes approximately 750 megawatts of potential investment options. As we have discussed in past calls, we are creating a diverse pipeline with multiple opportunities for expansion, without any significant reliance on particular geographic location or subsidy program. Moving to our Storage and Transportation segment on slide 10. This was our first year with Adelphia fully in operation, which is an 84-mile pipeline that runs from Martins Creek, Pennsylvania, to just south of Philadelphia. Our team did an excellent job ensuring that the pipeline operated effectively throughout the fiscal year, particularly during Winter Storm Elliot. At Leaf River, we continue to pursue service enhancements that will help increase its capabilities for the benefit of our customers. Moving to slide 11. Energy Services had an excellent 2023 with a significant contribution from the AMAs coupled with an outsized performance from our portfolio of strategically positioned assets. The AMAs will allow NJR to exceed its stated NFEPS long-term growth rate this year. And as demonstrated over the course of the last three years, we still have the ability to generate additional earnings from our remaining portfolio in times of volatility. And with that, I'll turn the call over to Roberto for a review of our financial results. Roberto?
Roberto Bel: Thank you, Steve, and good morning, everyone. Slide 13 shows the main drivers of our NFE for fiscal 2023. We reported NFE of $261.8 million or $2.70 per share compared with NFE of $240.3 million or $2.50 per share last year. The results of our business segments exceeded our initial expectations and reflected a year-over-year improvement at Energy Services and CEV, partially offset by higher depreciation and interest expenses in our other segments. New Jersey Natural Gas reported NFE in line with expectations, which included another strong year for our BGSS incentive programs. I also wanted to note that a significant portion of the year-on-year increase in O&M at our utility is due to a difficult comparison versus fiscal 2022 when NJNG deferred nearly $11 million of bad debt expenses in accordance with the July 2020 BPU deferral order. Clean Energy Ventures increased NFE by over $5 million. As Steve mentioned, we increased our in-service capacity by more than 82 megawatts during the year, and we will recognize the value of the associated tax attributes over the next five years. Storage and Transportation reported NFE of $12.8 million, which included higher revenues from the facilities that went into service at Adelphia Gateway during the year, as well as higher depreciation and interest expenses. Finally, Energy Services reported NFE of $68.5 million compared to $39.1 million in the prior year. As we look to fiscal 2024, it's important to note that we expect to recognize a significant portion of the AMA's total revenue during the year, most of which will be recorded during our fiscal fourth quarter. Turning to our capital plan on slide 14. Over the next two years, we expect to invest between $1.2 billion and $1.5 billion across the company. This capital deployment is expected to support growth throughout our business units and is consistent with our long-term NFEPS growth target of 7% to 9%. For fiscal 2024, we're increasing the bottom and top ends of the range from our previous projections, largely driven by higher expected capital investments at NJNG. In the next two years, we anticipate spending between $800 million and $1 billion of the utility. At CEV, we see a number of opportunities for future growth and expect to stand between $300 million and $470 million over the next two years, taking advantage of a broad opportunity set of solar investments. And finally, at S&T, we expect to maintain a moderate CapEx level with service enhancements at Leaf River representing the largest investments. Our capital projections are anchored by strong cash flows from operations. On slide 15, we showed a very strong operating cash flow achieved during fiscal 2023. We also show our updated projections for fiscal year 2024 and introduce fiscal 2025. As you can see, we expect cash flow from operations to range between $450 million and $490 million in the coming year. Moving to slide 16. NJNG continues to maintain favorable investment-grade credit ratings, and NJR's adjusted FFO to adjusted debt was 19% for fiscal 2023 and is expected to be between 17% and 18% for fiscal 2024. We have no plans to issue block equity. However, as we have stated in the past, our existing dividend reinvestment program includes a waiver discount feature that allows us to raise small amounts of equity on an opportunistic basis. Finally, on slide 17, we provide a breakout of our long-term debt. As you can see, most of our debt is fixed rate in nature. We don't have significant maturities in any particular year and we have substantial liquidity at both NJR and NJNG. Our NFEPS guidance for fiscal 2024 and our long-term NFEPS growth guidance assume high interest rates for the foreseeable future. Overall, we are in an outstanding position to fund our growth objectives. With that, I will turn the call back to Steve.
Stephen Westhoven: Thanks, Roberto. Since our Analyst Day in 2020, NJR has reported 12 quarters of financial results. During this time, we have raised our earnings guidance on five occasions as a result of strong performance throughout our business units. We exceeded our 7% to 9% long-term growth rate for each of the past three years, and we expect to do it again this year. An important component of our value proposition is the ability to return capital to our shareowners. For fiscal year 2024, we have raised our dividend to an annualized rate of $1.68 per share, a nearly 8% increase compared to fiscal 2023. With this increase, we have now raised our dividend every year for the last 28 years. The combination of our expected growth in dividend provides investors with an expected shareholder return of between 11% to 13%. In the coming years, we'll continue to develop organic growth opportunities that support long-term NFEPS growth markets through prudent capital decision-making reinforced by a strong balance sheet. As always, I'd like to thank all of our employees at NJR for their hard work and contribution. And with that, I'll now open the call for your questions.
Operator: [Operator Instructions] Our first question will come from the line of Julien Dumoulin-Smith with Bank of America. Please go ahead.
Unidentified Analyst: Hi. Good morning. This is Tanner on for Julien. Now that we're a few years into the long-term planning period, what factors could -- are you seeing that could trend your EPS growth to the upper or lower end of your long-term guidance for the remainder of the planning period? Given your upcoming rate filing and CapEx plans, should we think of NJNG is accelerating here in the back-end? I'm just trying to get a sense of the -- how you view the linearity of NJNG and then Clean Energy Ventures as well?
Stephen Westhoven: So Tanner, I think you described it right there. We've got a number of options we're able to grow or deploy capital, I guess, more quickly in order to accelerate that growth. You can see the CapEx program at utility increasing due to customer growth and other factors of clean energy. We've got a large pipeline of projects at CEV. We've got potential expansion, although nothing has been announced at our S&T Group. So you have all those factors pushing forward. Added into that, the fact that we have less need for equity due to the cash flows from Energy Services. It's just to build a strong platform for future investments. So I'd like to think about it is that we've got a good plan, solidly built going forward to hit the 7% to 9% growth and then the potential for additional investments, should any of the things that I've just mentioned it.
Unidentified Analyst: Great. Thanks. And then with respect to the upcoming rate case application, can you set some preliminary expectations for the composition of the filing? Is it expected to be pretty straightforward? Or could there be programs or mechanisms attached with the filing? Thanks.
Patrick Migliaccio: Tanner, this is Pat Migliaccio, Chief Operating Officer of New Jersey Natural Gas. To answer your question, this is a pretty straightforward rate case. You may recall, we'll be filing sometime in fiscal year 2024. The principal toggle for that is IT investments related to our program next as well as other, I'll call bread-and-butter utility investments around safety and reliability, the pipeline, et cetera. But to hit the nail on the head, it's a pretty straightforward rate case.
Unidentified Analyst: Great. Thank you very much.
Operator: Your next question comes from the line of Travis Miller with Morningstar. Please go ahead.
Travis Miller: Good morning, everyone. Thank you.
Stephen Westhoven: Hey, Travis.
Travis Miller: Quick question on slide 11 to start. Those -- the revenue and cash flow projections, what kind of variability should we expect in those or not at all?
Roberto Bel: Travis, hi, this is Roberto Bel. You're talking about -- you're talking about the AMA, right?
Travis Miller: The AMA, yes.
Roberto Bel: Yes, those are contracted. There is no variability on those cash flows or revenues.
Travis Miller: Okay. So in terms of modeling, just model a straight out as you presented them.
Roberto Bel: Correct.
Travis Miller: Okay. And then -- can you tell us what the earned ROE was at NJNG this year for the fiscal year?
Roberto Bel: No. Unfortunately, that's something we don't disclose publicly, Travis.
Travis Miller: Okay. Okay. Understand. And then a higher-level question. On CEV, I wonder if you could characterize both the types of projects that are in the pipeline and then also your thinking around strategy in terms of building and/or contracting and/or buying projects in the future?
Stephen Westhoven: Yes. I guess I'll take the strategy. It hasn't changed from where we started. We've got a few different stages of projects that we're able to purchase and acquire. We started developing, but certainly not opposed to buying late-stage projects or even ones in operations. General strategy is to be able to build, develop and own within regions and jurisdictions that are favorable in our risk profile. So I'd say New Jersey like, if we get outside of New Jersey, which we have, I think, 40% of our projects to date are outside of New Jersey or 40% going forward are outside of New Jersey. We're really looking at the risk profile, making sure the regulatory environment is favorable and really matches what we like to say is utility-like earnings across the whole company. So that's the way we're looking at it.
Travis Miller: Okay. Do you foresee doing projects on your own? Or would you consider going into maybe some very large projects with a partner or other equity partner, however, you'd want to structure it, but could you see yourselves going into bigger projects with a partner?
Stephen Westhoven: I wouldn't -- I'm not going to take anything off the table. But to date, you know, you've seen the size of projects that we're doing anywhere from a few megawatts up to 25 to 30 megawatts. So smaller in nature when you look at large scale utility-like investments and I think that niche market fits us well not only from a return management perspective. That being said, I think we certainly have the capability to manage larger projects. Again, this is all really focused on returns and risk profile of the jurisdiction in which we're making the investment.
Travis Miller: Okay. Great. Appreciate the thoughts.
Stephen Westhoven: Thanks, Travis.
Operator: [Operator Instructions] Your next question will come from the line of Robert Mosca with Mizuho. Please go ahead.
Robert Mosca: Hi. Good morning, everyone. So on slide nine, which is the staging of the CEV backlog additions, the big points on the x-axis changed. So it's kind of hard to tell if anything is different with respect to project timing, but any notable developments you want to call out? It also seems like CEV CapEx in '24 is going to be slightly higher than originally thought. So any thoughts there would be helpful?
Stephen Westhoven: So what are you looking for Robert? I'm not sure what the question is?
Robert Mosca: Yes, sorry. So slide nine, the CEV project addition time line. So just wondering if anything has changed because the breakpoints on the x-axis are different than were in the prior quarter. But any developments or kind of steady as she goes? And it also looks like the '24 CapEx for CEV is slightly higher than originally thought. So any thoughts there?
Roberto Bel: Hey, Rob, this is Roberto. So on slide nine, if you compare this slide to prior slides from pior calls, there is no significant difference other than that our in-service capacity has increased because we have been in -- significant [indiscernible] megawatts internally. But if you look at the total, right, that 1.2 gigawatts that we have on the right, has not changed. So we continue to move and progress, creating our pipeline, but from the last quarter when we had this conversation, no material changes.
Robert Mosca: Okay. Great. That's helpful. And Steve I think you touched on it in your prepared remarks just with the widening of the guidance range. Is that just to match your peers? Or is there any more earnings variability in your base businesses this year compared to prior years? And if there is, just wondering what that could be attributable to?
Roberto Bel: No, not related to more variability. This is exactly what you're saying to much of our peers. If you think about our guidance range, it's been about $0.10 for 12 years, I don't know, more than 10 years. Despite that, we have been growing earnings every single year, right? So this is just to bring us back in line with what our peers are projecting on a relative basis.
Robert Mosca: Okay. Great. Thanks, Roberto. And just a quick last one for me. I know you mentioned kind of pursuing the service enhancements at Leaf River. Just wondering, is that something that could be monetized? Is that an area of growth? Or is that just improving customer service for those customers?
Stephen Westhoven: No, I think the whole strategy associated with our S&T business to be able to get on to organic growth with those assets. And certainly, we've got a growth mindset in those businesses. So, yes, we've got some small investments that we're making now tied to some contractual arrangements and I think moving forward, it's been a secret that storage is being expanded in the Gulf Coast. And certainly, pipeline infrastructure in the Northeast is difficult to build greenfield expanding existing pipelines is much more -- is much easier. So when we look at those two facts, we look at expansion. We've got nothing to announce now, but it's certainly something that we look at that could be outside of the plan.
Robert Mosca: Got it. All right. Thanks for the day, everyone.
Stephen Westhoven: Thank you.
Operator: [Operator Instructions] We have no further questions at this time. I'll turn the call back over to Adam Prior for any closing remarks.
Adam Prior: Thanks, Regina. I'd like to thank everyone for joining us this morning. As a reminder, a recording of this call is available for replay on our website. Everyone have a happy and safe Thanksgiving. And as always, we appreciate your interest and investment in NJR. Thanks so much and goodbye.
Operator: That will conclude today's call. Thank you all for joining. You may now disconnect.